Nicoletta Russo - Head of IR:
Operator: Good day, and thank you for standing by. Welcome to the Ferrari 2025 Q1 Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to our first speaker today, Nicoletta Russo, Head of Investor Relations. Please go ahead.
Nicoletta Russo: Thank you, Sharon, and welcome to everyone who is joining us. Today we plan to cover the Group's first quarter 2025 operating results and the duration of the call is expected to be around 60 minutes. Today's call will be hosted by the Group CEO, Mr. Benedetto Vigna, and the Group's CFO, Mr. Antonio Picca Piccon. All relevant materials are available in the investor section of the Ferrari corporate website and at the end of the presentation, we will be available to answer your questions. Before we begin, let me remind you that any forward-looking statements we might make during today's call are subject to the risks and uncertainties mentioned in the Safe Harbor statement included on Page 2 of today's presentation and the call will be governed by this language. With that said, I'd like to turn the call over to Benedetto.
Benedetto Vigna: Grazie, Nicoletta. Thank you everyone for joining us today. While the macroeconomic environment remains uncertain with ongoing geopolitical tensions and market volatility, we at Ferrari have a clear view of our priorities and we are continuing to execute our business plan with discipline, focus and four wheels on the ground. The solidity of our business model, along with the relentless drive of all our partners and employees, and the continuous trust of our clients enable us to navigate the current context. We look ahead with confidence, being vigilant of the situation that surrounds us as we have always been in the last years. In this spirit, we have kicked off this year with good progress on several fronts. Our product offering continues to evolve, our new paint shop is proceeding according to plan, we won the much-anticipated podiums in the World Endurance Championships in Qatar and in Italy, and we launched our new lifestyle collectibles. Most importantly, we have delivered a strong set of financial results. So, let's start from here. Q1 '25 saw double-digit growth on all key metrics led by product mix and the continued solid trend in personalizations. A few key numbers to highlight. One, total revenues reached approximately €1.8 billion with very few incremental deliveries year-over-year. This confirms, once again, our strategy of quality of revenues over quantity. Two, we enjoyed a strong profitability with EBITDA close to €700 million. Three, industrial free cash flow generation reached more than €600 million in the quarter. In Q1, we have also witnessed a continuing strong brand momentum. Indeed, the order book on current models has evolved as expected and covers the World 2026 with the 12-cylinder coupe and spiders guiding the order intake. This leads me on to the very positive reception that we have witnessed for hours recently unveiled the two special versions, the coupe and the spiders, of the 296 GTB and 296 GTS. These new Ferraris are based on the current berlinetta in our range, the 296 GTB and 296 GTS. However, they mark far more progress in both performance and managers. With hybrid engines delivering a total of 880 horsepower, these cars offer an unprecedented driving experience. But it's not just their sheer power that makes them special. They are also distinguished by meticulous attention to detail, technology and technological innovation and refined design. And as is characteristic of our sports cars, they embody solutions derived from our racing cars, the 499P, the 296 GT3, the 296 Challenge, and the Formula One. These two newly born are the latest expression of our hybrid offering, and they have been enthusiastically greeted by our clients. One important client of ours paid the deposit to his dealer right after the presentation of last Tuesday, and another one told me this is truly a brand new car, not just a special edition. It is beautiful, it is very elegant and highly performing, and I love the new gear change experience. The new physical commands, moreover, on the steering wheel are incredibly interactive. Now it is much more comfortable to drive. As you can see, we are progressing in our product development plan, enriching our offering with exciting new models that allow us to tap into different clients' needs and desires. But the launch of the 296 Speciale Coupe and Spider represents just the first of many milestones to look forward to this year. Among these, as we have told you in February, there will be the unveiling of the much-anticipated Ferrari Elettrica. It will be carried out in a unique, innovative way that befits a unique and innovative Ferrari. What does it mean? It means that this is a masterpiece of technology designed in unique features. It will be an exciting journey of discovery. It is the first of its kind, yet rich in every aspect that makes a true Ferrari. For these reasons, we want it to be fully appreciated in every single detail. And there is no better way to do this than by revealing it step by step. Three will be the unveiling steps. The first one, starting in October, at our Capital Market Day, we will show you the technological heart of the Ferrari Elettrica. And then, in early 2026, we will give you a glimpse into the look and feel of the interior design concept. And a few months later, in spring next year, the journey will culminate with world premieres, where we will reveal this harmonious brand of technology and design. As planned, deliveries of the Ferrari Elettrica will commence just months after that, in October 2026. Moving on from road to track, let me congratulate the entire team for the historic 1-2-3 in Qatar at the opening round of the 2025 FIA World Endurance Championship and the following victory at the six hours of Imola, more than half a century after our latest win in Italy. We couldn't have started the racing year in a better way. I was in Imola and I can guarantee you that sharing those unique emotions with a lot of passionate people in Ferrari is an unforgettable experience. In Formula 1, the team is more focused than ever on fighting for victories and podium places. The beginning has not been easy, we all know that. On the other side, we are all fuelled by deeply rooted grit and relentless determination to continue to progress. But racing is not the only means we have of channeling the world's passion for Ferrari. Here I refer to our lifestyle strategy, which has made significant progress in recent years. In early April, during the world-renowned Milan Design Week, we presented our new collection of exclusive Ferrari collectibles. Blending timeless Ferrari design with exquisite craftsmanship, these are not mere objects. In fact, each model allows our community of enthusiasts to own and treasure a symbol of the Prancing Horse's history. Speaking of community, we have maintained our focus on giving back to our local area with the Enzo Ferrari Memorial Half Marathon of Italy on 30 March. We shared this special moment at our home in Maranello with over 10,000 runners from all over Italy and several countries across the globe, which reinforced our community ties and underlined the importance of sport and health. Through the proceeds from registration and partner contributions, the event will leave a tangible legacy on our region, enabling the creation of a new multi-sport field in the Maranello Sport Park by early 2026. Last but not least, I would like to share another remarkable achievement with you. Our e-building, the one that we inaugurated last year, has been awarded the prestigious LEED Platinum Certificate, a globally recognized sustainability rating system. And now, I hand over to Antonio to review the Q1 2025 results in detail.
Antonio Picca Piccon: Grazie, Benedetto, and good morning or afternoon to everyone joining us today. Starting on page 5, we show the highlights of the first quarter, which represents another strong start to the year. Please bear in mind that Q1 2025 results were not impacted in any way by the recent introduction of higher tariffs on EU cars imported in the U.S. Revenues and profitability grew double digits, with shipments slightly higher than the previous year, and product mix and personalization as the main drivers of growth. Percentage margins were particularly strong in the quarter, thanks to the solid business performance, lower DNA in line with model life cycle, partially offset by higher rating expenses and brand investment. ‘ Net profit reached €412 million and corresponded to a diluted EPS of €2.3, up 17.9% versus the prior year. Such an improvement also encompassed increased financial charges and the higher tax rate, now projected at 22% in light of the benefits from new patent box regime only. Industrial ticker store generation was very strong, and about €600 million, and I will highlight the main drivers later on. On page 6, we deep dive into our Q1 deliveries, which increased by 33 units. This increase was driven by the Ferrari Roma Spider, the 296 GTS, the SF90 XF family, and the Purosangue. In the quarter, the 12Cilindri continued its ramp-up phase, and the first deliveries of the 12Cilindri Spider commenced. In line with model life cycle, deliveries of the 296 GTB decreased, as well as the ones of the Daytona SP3, in line with plan. The SF90 Spider approached the end of its life cycle, while the A12 Competizione A phased out. As customary, the geographic breakdown reflected different product cycles, as well as the company's deliberate allocation strategy. As a result, EMEA and Americas were up versus the prior year, representing three quarters of our total shipments. The price of FX was almost flat at 18%, and mainland China, Hong Kong, and Taiwan reduced their share to 7%. On page 7, the net revenues breed showed a remarkable double-digit growth, up 12.2% versus the prior year at constant currency. The increase in cars and spare parts was driven by the richer product and country mix, as well as higher personalisation. Personalisations accounted for more than 19% of total revenues from cars and spare parts, just a couple of decimals higher than last year's foreign exchange rate, mainly supported by the Daytona SP3 full carbon and the SF90 FX family. Sponsorship, commercial, and brand increased thanks to new sponsorship, among which the HP title partnership of Scuderia Ferrari, which was signed in May 24th, and therefore provides the quarter with an easy come and lifestyle activities, as well as higher commercial revenues linked to the better prior year Formula One ranking. Currency, net of exit in place, had a positive net impact in the quarter. Moving to page 8, the change in adjusted EBIT is explained by the following variances. Mixed price strongly positive, thanks to the enriched product mix, sustained by the deliveries of the SF90 FX family, the Dodge Cylindri, and the seven units of the 499P Modificata. The increased contribution from personalization, and the positive country mix supported by the Americas. Let me remind here that throughout the year, the enrichment of the product mix will be less reliant than a Daytona SP3, and rather sustained by special series and range models, along with few initial deliveries of the F80 in Q4. The remaining variances were due to substantially flat industrial energy expenses, largely driven by higher racing and innovation activities, but lower DNA in line with model life cycles. Higher DNA reflecting racing expenses and brand investments, as well as our continuing organizational development. And finally, other was positive, mainly thanks to new sponsorship, partially offset by the comparison with the prior year's release of car environmental provision in the U.S. Lastly, we had a positive net impact from currency. Percentage margin strengthened in the quarter, with EBITDA margin at 38.7%, and EBIT margin above 30%, also benefiting from the lower DNA. Turning to page 9, our industrial free cash flow generation for the quarter was strong at €620 million, and reflected the increase in profitability, and the positive change in working capital provision and others, mainly supported by the initial collection of the F80 advances, and certain non-recurrent cash proceeds related to the signing of the new concord agreement, partially offset by capital expenditures. Net industrial debt was €49 million at the end of March, reflecting the share purchase program executed in the quarter. As a housekeeping note, please bear in mind that in the second quarter, we are required to pay our income taxes, and the net financial position will reflect dividend distribution of approximately €530 million, and the 2025 euro bond repayment for roughly €450 million, both falling due during this month of May. Moving to page 10, we confirmed the 2025 guidance with the 50 basis points reduction risk on EBITDA and EBITDA margins flagged as of March end, when we updated our commercial policy for the U.S. market, following the introduction of higher import tariffs on EU cars. Clearly, we remain vigilant on the global business environment, and we are mindful of the many changes occurred in the last few weeks. Besides the U.S. tariffs that we have addressed with the update of our commercial policy, I refer to the swift change in the foreign exchange rate, mainly the U.S. dollar, which we continue to tackle through our hedging policy that provides us with a partial support over the rest of the year. The potential effect of the overall macroeconomic uncertainty and financial market volatility that we keep on monitoring thanks to the visibility we enjoy. Looking more closely at the development of the year, we continue to project a positive product mix and support from racing revenues and lifestyle activities, along with continuous brand investments and higher racing expenses. Given the above, the first half of 2025 is expected to be stronger than the second, in line with the development of the mix and the seasonality of SG&A, racing expenses, as well as DNA. To conclude, today's strong results represent further progress in the execution of our business plan and in our growth path. Despite the surge of the uncertainty and volatility, our indistinctive business model provides us with solid confidence and the necessary agility for our future. Thanks for your attention, and I turn the call over to Nicoletta.
Nicoletta Russo: Thank you, Antonio. Sharon, we are now ready to open the Q&A session. Thank you.
Operator: Thank you. [Operator Instructions]. We will now go to your first question. One moment, please. And your first question comes on the line of Susy Tibaldi from UBS. Please go ahead.
Susy Tibaldi: Hi, thanks for taking my question. First one, you mentioned about being vigilant in the situation. Can you talk a bit about the differences in trends you are seeing between new customers to Ferrari, existing customers, and your top collectors? Given the very mixed macro picture, are you seeing differences? Of course, your customer is much more resilient than the average customer, but I'm sure there's also some nuances that maybe you can share. And then secondly, on the 296 Speciale, when you say it's limited in time, is it fair to think maybe two, three years? And in terms of volumes, obviously you don't provide volumes, but should we think similar to the 488 Pista?
Benedetto Vigna: Okay, thanks for the question. So second one, it will be limited in time. Yes, it is Speciale version, like all Speciale version is limited in time. You got it well, it's similar to the 488 Pista. Okay. So this is question number two. Question number one, as I said, and also Antonio said, we are very vigilant on the situation because as of end of Q1, with all the data that we got from all the dealership, we don't see any impact on our order book and on the cancellation trend. So we are, let's say the situation is well under control, but we want to be vigilant because we want to see what's happening. We don't see any difference in trend between new client, collector, and let me say new client and repeaters. We don't see any difference. We have been digging in different specific places in the world to see in search of this difference, but we did not see. I think that we should -- when we talk about Ferrari, we should not talk about clients. We should talk about single clients. Each one has its own specificity. So it's always difficult to find a pattern. We look for that because we have a lot of nice tool now of data analysis, but we don't see any specific pattern.
Susy Tibaldi: Thank you.
Operator: Thank you. Your next question comes from the line of Henning Cosman from Barclays. Please go ahead.
Henning Cosman: Yes, thank you so much. Good afternoon, everybody. Could I please ask about seasonality between Q1 and Q2 within the H1? I'm just conscious that over the last couple of years, Q1 has been quite a bit weaker than Q2 and wondering if that could be similar again or if we're expecting more stable. That's probably one point for you. And perhaps one for Benedetto on the U.S. Do you have any elevated industries at all in the U.S. from potentially pre-shipping ahead of the tariffs? Do you envisage any impact on the volume cadence at all going forward in the course of the year into next year? Q1 was obviously pretty strong in the U.S. Do you expect anything at all there in terms of paving? Have you seen anything at all in terms of order cancellations at all in context of the tariffs? And if I can squeeze the third one very quickly, if you could just confirm how many Daytona’s you shipped in Q1 and how many you have left for Q2 and Q3. Thank you so much.
Benedetto Vigna: Thank you, Henning. I'll take the second one and the first one, Antonio, will elaborate. We don't see -- we have all the data. We deal it by dealer, obviously, from all over the world. And we have a specific focus on the U.S. We don't see any specific trend, actually. We don't see any impact on the tariffs. But despite this, as we said, we remain vigilant because, let's say, we need to be careful to catch if there is any small signal picking up. I can tell you also that last week, I mean, I was in Florida in that specific case. And the market is very strong, it's been always very strong, and it continues to be very strong with a strong demand across all our models. So I think that as soon as we have some difference, for sure, we'll make you aware, but we don't see any impact. Also, because I think that, at least from what we hear from several clients, new and repeaters, that they appreciated our two things of our new commercial policy over there. Number one, that we've been clarifying right away what we intend to do. And two, that we contribute, okay? We contribute to this price increase. We don't ask them to pay all the bill, but we were very clear telling that some models will have no price increase, some others up to – the remaining up to a maximum 10%. So they appreciate it a lot. The way we behave, the way we put them at the center of what we do, and also the timely communication on the new terms. Talking about Q1 and Q2 cadence…
Antonio Picca Piccon: Directionally, please, take Q2 lighter than Q1. And this is also in line with the fact that in Q1, we delivered less than 80 Daytona, so lower than last year, but not that far away. While in Q2 and Q3, Daytona will go down and will be zero in Q4.
Operator: Thank you. Thank you. We will now go to the next question. And your next question comes from the line of Stephen Reitman from Bernstein. Please go ahead.
Stephen Reitman: Yes, good afternoon. You made the comment that the order book is being led by the 12Cilindri. Could you comment on the personalization trends you're seeing right across the Board, but also specifically on that vehicle and also the Purosangue, particularly with the 32-Cilindri [ph] already having a quite elevated price against the 812 Superfast that it succeeded? And secondly, looking at the bridge, on the EBIT bridge and you specifically pointed out on the other line that there was the 18 million reflected the sponsorship, the HP offset by some other factors. Does that give us sort of like a reasonable idea of the run rate of the HP sponsorship deal, which suggests this in the region of about 100 million or so?
Benedetto Vigna: Thank you, Stephen. And I think the first one and the second, Antonio. So what we see the personalization of the 12-cylinder, both the 12-Cilindri and the Purosangue is in line with what we've seen before. So we see a strong traction on the three main factors that are driving our personalization. It means some functional components and then on the painting and on the carbon finish. I think these are the three trends we see on this car, as we have seen also in the past. I can tell you that the cars, I mean the clients are looking more and more at personalization and we are preparing ourselves to be able to offer them more and more personalized offers. So this is for the first question. The second one?
Antonio Picca Piccon: Hi, Stephen. With respect to the EBIT Bridge, the 18 million comes basically from the net of the positive that is related to the sponsorship of Scuderia. And on that portion, obviously the fact that we had the HP sponsorship and the IBM sponsorship coming in represent the bulk of it, together with the increase in the positive from the commercial revenues related to the F1. And as a negative, sorry, and there is another point which is the Easy Comp with last year, when we had the CO2 penalties released less than 10 million. On the negative side, in terms of comparison, there is a sort of seasonal effect in comparison with the expenditure of last year on WEC, so on the racing not related to Formula 1. Does it help?
Stephen Reitman: Yes, thank you very much.
Antonio Picca Piccon: I am sorry and going forward, I mean, in general, it's difficult to project overall, but I do not expect it to be a big contributor. The positive one should be related to sponsorship. Then we had some positive last year that should help in terms of adding the Q2 and will pay the way during the rest of the quarter.
Nicoletta Russo: Just, Stephen, in the latter to further clarify, as a reminder we signed HP last year in April. So clearly after that time, it's not an Easy Comp. So it's not the right project.
Antonio Picca Piccon: Yes, you cannot do it. Sorry, I didn't get this question. That's part of the question.
Operator: Thank you. Your next question comes from the line of Michael Binetti from Evercore. Please go ahead.
Michael Binetti: Hi, guys, congrats on a great quarter. Could you just clarify the exact number of Daytona’s that you had in the quarter? I know you said it was below 80, but then if I just, I guess, Antonio, if we back out the first quarter results from the year, it looks like, if I look at the rest of the year, there's a scenario where EBITDA margin could be anywhere from down 10 or 15 basis points to up 50 basis points. I'm just curious, what are the inputs to the scenario that could lead to EBITDA margin being negative in the rest of the year? And then, Benedetto, on the EV launch, as you think about it, you described it as a masterpiece of technology. You know Ferrari has always been – buying a Ferrari is always been a relationship with a timeless car. And I'm curious if you think about the EV and the focus on technology and how technology ages differently than luxury cars. How do you protect the timelessness element of a Ferrari? And you think about what drives residual values of these cars overtime as you move into cars with a bigger technology component?
Benedetto Vigna: Thank you, Michael. I think the first one will, Antonio, we'll elaborate and take the second one about Elettrica. I would like that you agree with what you said, but one thing that it's not a focus on technology. We focus on the emotion we deliver to our clients. So, when we inaugurated the E-Building one year ago, we said and when we also represented the F80 the supercar, we made it clear that all the strategic components of electrified cars, hybrid and in the future electric will be done in-house in a way that we can guarantee what you are telling that is this timeless feature of our cars. I think this is important and that's the reason why also we did this investment because we want to have the flexibility and the ability to maintain and to offer our clients the technology that are needed for the future when it comes to the inverter, the battery, the axle, all these things that are distinguishing features of electric cars. And then consider also that our Elettrica, our Ferrari Elettrica, will not be -- it's much more than digital and electric and you will see that close. So, this is the second part and then Antonio is about the number of Daytona.
Antonio Picca Piccon: On the precise number of Daytona, they were 77. And with respect to the EBITDA margin down during the course of the year, we projected on the basis that the mix will be lower and this goes hand-in-hand with the reduction of the number of Daytona’s, and the development of the mix of the rest of the range and the increasing expenditure, particularly as G&A and R&D and partly related to the development of our racing activities.
Michael Binetti: Okay. Thanks a lot, guys. I appreciate all the detail.
Benedetto Vigna: You're welcome.
Michael Binetti: Thank you.
Operator: Thank you. Your next question comes from the line of John Murphy from Bank of America. Please go ahead.
Unidentified Analyst: This is actually [indiscernible] on the line for John Murphy. Just first of all, I wanted to touch on the tariffs. I know you cited about a 50 basis point EBITDA-EBIT margin risk from that. Could you just provide some clarity? I mean, it seems like you're maintaining guidance, but you're highlighting the risks. So, do we think about that as the maximum potential impact here, or do you expect to offset it? Any additional clarity you might be able to provide on that front would be useful.
Antonio Picca Piccon: Hi, John. Maybe I didn't answer this one first. Yes, it's a risk we see. I mean, there might be opportunities to offset it. That's why we describe it as a risk. However, it depends on a number of moving parts as of now. So, I think the outcome is the one that we have outlined.
Unidentified Analyst: And then just my other question, and this is a quick one. If you could just talk about the consumer reception so far for the 12Cilindri, that'd be useful. And then also, are you finding demand is consistent across the geographies for that product?
Benedetto Vigna: The reception of this car has been very, very good across all the geographies. Clearly, in some geographies, there is more appeal because of the tax impact is lower. For example, the 12Cilindri impact and its attraction in countries like China is lower because the tax rate is higher. But so far, I mean, we see a good traction with, let's say, in different countries. It goes from Scandinavia to the U.S., to Latin America, to Italy, I mean, it's up for Europe. So, it's very good traction. Very good.
Unidentified Analyst: Thank you. That's all I have.
Operator: Thank you. Your next question comes from the line of Monica Bosio from Intesa SanPaolo. Please go ahead.
Monica Bosio: Good afternoon, everyone, and thanks for taking my questions. I have, I think, three. The first one is on the initial collection from the FAT. Should we expect further impacts across the year? And if yes, Antonio, can you help us model the impact? Because I'm just wondering what's the weight of the collection on the working capital in the first quarter? The second question is on the residual values. You announced pricing actions in USA. How do you see, if any, this could impact on the residual values in USA? Any comments on this would be useful. And the very last, maybe it's a stupid question, but it's on personalization. So, you are implementing pricing actions on the final price, on the value of the imported car. And what about personalization? Maybe I missed something. Are you going to modify also the pricing for personalization for those cars that would be delivered?
Benedetto Vigna: Monica, this will be Antonio taking care of all the three questions.
Antonio Picca Piccon: Initial collection on FAT. I think it has been important in Q1. We do not expect the same impact over the rest of the quarter, also because there are deposits that have been anticipated the previous year that will fade away. So, another positive, but not of the same size, is expected around Q4. So, the portion of working capital is related to one that got a big bulk in Q1, and then there will be a lower one in Q4. Residual values, pricing action in US, in principle, it could drive residuals up. We'll see where that's the potential expectations. About personalization, well, last year we intervened already on personalization in terms of price increase. We haven't taken, I mean, when we talk about the overall price increases, we refer to the price increases of the car overall.
Monica Bosio: Okay. Thank you.
Antonio Picca Piccon: Welcome.
Operator: Thank you. Your next question comes from the line of Thomas Besson from Kepler Cheuvreux. Please go ahead.
Thomas Besson: Thank you very much. It's Thomas at Kepler Sovereign. I'd like to come back to, somehow, Steven's question on the non-car revenues. Historically, I think you were suggesting they were dilutive to profitability, and it feels like they might become even relative to profitability. Could you comment on that concept for Q1 and for the rest of the year? That's the first question. The second, I understand what you say about the timeline of deposits Q1, Q4, but you've already generated half of the guide for free cash flow. So should we think that your guide is for the full year conservative, or an important part of the 620 was effectively working up? Lastly, just a housekeeping question. Could you confirm the tax rate for the year, and broadly speaking, the direction for CapEx for the year? Thank you very much.
Benedetto Vigna: Antonio? Yes.
Antonio Picca Piccon: The third question, the tax rate, as I said before, approximately 22%. And this is because this year we'll enjoy the benefit only on the new patent box regime. Last year, just to remind you, we had the overlap of the new and the previous one that brought the tax rate down. Industrial free cash flow, given the Q1 generation, is the guidance conservative? We are never conservative. So, well, in principle, there might be chances in that direction. But as I said, there are still several moving parts. Non-car revenues impact the activities for Q1 and the rest of the year. In terms of development of the sponsors, I think all of the agreements that we – the relevant agreements are in place already now. So, I do not expect this to change in dimensionally, significantly over the course of the year. Obviously, the comparison with last year may be a bit more uneven. But the run rate is the one that we expect, similarly for lifestyle. CapEx guidance between 900 and 950, that's probably the best guidance I can give you as of now.
Thomas Besson: Thank you. Thank you very much.
Antonio Picca Piccon: You're welcome.
Operator: Thank you. Your next question comes from the line of Tom Narayan from RBC. Please go ahead.
Tom Narayan: Hi. Yes. Thanks for taking the question, Tom Narayan, RBC. The first one I have is, you know, at the 22 Investor Day, you guys shared a target of a powertrain split of 40-40-20, with 40% being full electric of models by 2030. I know you guys may update this on October 9th, but given the first Ferrari electric is only going to start deliveries in October 2026, is there enough time to get to 40% of models being full electric just three years later? And then the next question, we've had some time now with Purosangue sales. Just curious if we have data now that suggests residual values are holding up and also any demographic information, you know, who's buying the Purosangue's and more, you know, is it different than the regular Ferrari customer, female versus male, daily users versus collectors, et cetera? Thank you.
Benedetto Vigna: Okay. So thank you. Thank you, Tom. First one, 40-40-20. Remember that during the Capital Market Day, when we provide the split of the PU, the powertrain, we always talk about our offer, not the split of sales. You remember? Because when we talk at that time, our roadmap to offer any kind of traction to the client, we said we want to leave the freedom of choice in the end of the client. So that split was a split of the model we were offering. In terms of updates, if any, I'm afraid that you have to wait, let me say, in October this year, where we will provide you and all the colleagues a full update. The second one is about the residual values and the demographics of Purosangue. Well, the demographics of Purosangue clients, I think it's not - let's say we have a new client. Yes. We have in the range of...
Antonio Picca Piccon: 10%.
Benedetto Vigna: 10% of new clients. This was what we planned. A posterior, I think we could have been pushing more, 15%, 20%. This is a lesson learned for us, for the future. But coming also in terms of male and female, what we see is that a lot of times is, you know, you have the name of the repeaters buying the cars and the partners, female, that is driving the cars. And then also, it's true that with this car, usually people do a little bit more kilometers than others. In terms of residual values, I think that there is a lot of traction for these cars. We are collecting order also for end of '27, delivery '28. And there are some areas, for example where these cars are turned within one week, the pre-owned, and there is an increase on the sticker price. So, I think that today, there are - this year is important because we have some models like Purosangue entering '27, '28, and some other models '26, '27, '28, some other models that are ending in 2026.
Tom Narayan: Got it. Thank you.
Benedetto Vigna: Thank you.
Operator: Thank you. Your next question comes from the line of Martino de Ambroggi from Equita. Please go ahead.
Martino de Ambroggi: Thank you. Thank you. Good evening. Good morning, everybody. Changing the subject, my first question is on Greater China because deliveries are decreasing since second quarter '23, quarter-after-quarter. So, what is the right or the ideal size that you see for this region going ahead? And the second is on the warranty program for hybrid customers. How is progressing the choice of customers to get your warranty program? And the last one, I clearly understand you will probably not provide any answer, but am I right in assuming that the increasing prices that you announced in the US could worth roughly €100 million on a consolidated basis? Thank you.
Benedetto Vigna: So, I think the second one - one second, because the second, the last one, Antonio will take care of it. I think that, I think the first two. The hybrid, we are very precise. It's more - it's close to 550 contract for the hybrid warranty programs. Clients start to appreciate it because they see a value. And also, I believe in the first communication, we were not so clear. Now we are improving the clarity of the communication. So, we are around 550 contract about this hybrid warranty. China, China on one side, we see the region now is moving. On the other side, we always said that the mainland China plus Taiwan will be in the range of 8% to 10%. And let me say today, the cars we are having, mostly 12Cilindri, 12 cylinders, are having a little bit too much impacted by tax. And this one of the cars we will launch this year is meant also to fit better the portfolio for that region. So, that's the picture on the China.
Antonio Picca Piccon: For the last one, I will not provide that level of granularity. We said up to 10% for the model that we will be updated. But we reserve the right to intervene and we're actually moving already.
Martino de Ambroggi: Okay, thank you.
Benedetto Vigna: Thank you.
Operator: Thank you. There are no further questions. I will hand the call back to Benedetto Vigna.
Benedetto Vigna: Thank you. Thank you all for the time and for all your questions. The strong Q1 '25 result in the continuing desirability of the Ferrari brand that fueled our confidence for our year ahead and also for the future. I wish you good morning or afternoon and thank you again for your attention.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.